Operator: Good morning. Thank you for standing by, and welcome to the Sphere Entertainment Fiscal 2024 Fourth Quarter and Year End Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker's remarks, there will be a question-and-answer session. I would now like to turn the call over to Ari Danes, Investor Relations. Please go ahead.
Ari Danes : Thank you. Good morning and welcome to Sphere Entertainment's fiscal 2024 fourth quarter and year-end earnings conference call. Today's call will begin with our Executive Chairman and CEO, Jim Dolan, who will provide an update on Sphere. Dave Byrnes, our Executive Vice President, Chief Financial Officer, and Treasurer, will then review our financial results for the period. After our prepared remarks, we will open up the call for questions. If you do not have a copy of today's earnings release, it is available in the Investor section of our corporate website. Please take note of the following. Today's discussion may contain forward-looking statements within the meaning of the Private Security Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Please refer to the company's filings with the SEC for a discussion of risks and uncertainties. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. On pages five and six of today's earnings release, we provide consolidated statements of operations and a reconciliation of operating income to adjusted operating income, or AOI, a non-GAAP financial measure. And with that I'll now turn the call over to Jim.
Jim Dolan: Thank you, Ari, and good morning, everyone. As we said from the start, we believe Sphere is a new medium that has the potential to change the entertainment landscape for artists, guests, and partners. Fully realizing that vision will take time, but we are learning every day how to optimize Sphere's operating model. And with the close of fiscal 2024, we are pleased to look back and see real progress across multiple fronts. Since Sphere opened last September, we have welcomed millions of guests, hosted artists at blue chip companies, and featured numerous brands on the Exosphere. Sphere has also become part of the global conversation with worldwide recognition and extensive press and social media coverage. Our plan for Sphere is to create widespread demand for our offerings and drive utilization far in excess of traditional venues. Our core component of that strategy is our content category. The Sphere Experience, which currently features Postcard from Earth. This category, again, generated more than $1 million in average daily ticket sales in our fourth quarter. Since premiering in October, the Sphere Experience has generated over $300 million in high margin revenue. These results reinforce our confidence and original content as a key economic engine for Sphere. We are actively developing new cinematic experiences and expect to launch our next attraction in the coming weeks. We believe this expanding content library will benefit our Las Vegas business and strengthen our value proposition to new markets. On the concert front, artists continue to benefit from the drawing power of Sphere. Dead & Company just completed their 30-show run on Saturday night. The Eagles kick off their residency next month with a 20-show run through January. We recently announced that Anyma will be our first EDM act with a multi-night run around New Year's. Both the Eagles and Anyma have been extended multiple times due to demand. And next month in another first, Sphere will host the UFC, which will be the first live sports event in the venue. We are also making progress towards our goal hosting multiple event types on the same day. The Sphere Experience ran on the same day as Select Dead & Co. concerts in July and August, and we believe that this had a positive impact on attendance for Postcards from Earth on those days. We also expect a similar schedule during the Eagles run and our upcoming EDM shows. In addition, we are not standing still in terms of innovation. On July 4th, we marked the one year anniversary of the Exosphere by launching two new features. An official live stream called XO Stream, which is available 24/7 on our website, and XO Audio, custom audio synced to Exosphere content that is available both on site and online via the live stream. We also welcome Verizon as the presenting partner of the live steam. We are pleased that the partners and advertisers continue to recognize the Exosphere as a high impact platform for their brands. Finally, we remain focused on executing on our global vision for Sphere. Expansion discussions with international markets continue to progress and we look forward to sharing more. So while we know it's still early days, we're positive about what we have achieved with Sphere and we remain optimistic about what the future holds for this next generation medium. And with that, I'll now turn the call over to Dave.
Dave Byrnes : Thank you, Jim, and good morning everyone. For the fiscal ‘24 quarter, we generated total company revenues of approximately $273 million and adjusted operating income of $25.7 million. Our Sphere segment generated fourth quarter revenues of approximately $151 million as we welcomed over 900,000 guests to more than 230 events along with an AOI loss of $5.5 million. These results were driven by our original content category, the Sphere Experience, featuring Postcard from Earth, which generated approximately $74 million in revenue across 208 shows in the quarter. They also reflected Phish's four night run in April and the start of Dead & Co. Residency in May with 18 performances during the quarter. Fourth quarter results also benefited from Hewlett Packard's corporate keynote event and the NHL Draft, as well as advertising campaigns on the Exosphere. SG&A expenses for the fourth quarter were $102 million. This primarily reflects corporate overhead, as well as expenses related to Sphere Studios, associated content and technology development. Turning to MSG Networks, the segment generated $122 million in revenues and $31.1 million in AOI, which represent a decrease of 5% and an increase of 2% respectively, as compared to the prior year period. The revenue decrease reflects lower distribution revenue, primarily due to a 13% decrease in subscribers, inclusive of the impact of MSG+. This was partially offset by higher affiliate rates and an increase in advertising revenue year-over-year, primarily due to higher per game advertising sales on the linear networks and advertising revenue related to MSG+. The increase in AOI reflects lower SG&A expenses, partially offset by the decrease in revenues. Turning to our balance sheet, as of June 30th, we had approximately $560 million of unrestricted cash and cash equivalents. Our debt balance was approximately $1.4 billion at quarter end. This reflected $259 million in convertible debt and a $275 million credit facility related to Sphere in Las Vegas. It also reflected approximately $850 million outstanding on the MSG Networks term loan, which, as a reminder, is debt that is recourse only to MSG Networks. As you know, we had been in discussions with our lenders regarding a potential refinancing of the MSG Networks credit facilities. However, we have been unable to reach an agreement with our lenders on a refinancing on a voluntary basis. As a result, MSG Networks has decided to pursue a refinancing through a workout with its existing lenders and its hired advisors to assist it with the process. We will keep you updated as appropriate. And with that, we'd be happy to take your question.
Operator: Thank you. [Operator Instructions]. Your first question comes from a line of Brandon Ross from LightShed Partners. Your line is open.
Brandon Ross : Thanks for taking the question. I guess, MSG Networks has stolen the day-to-day with the workout. So, Jim, I wanted to ask you how the new NBA deal and the recent Comcast hearing of RSNs have changed your views on MSG Networks and the broader RSN Industry? And I guess related are those influencing the approach that you're taking to this workout?
Jim Dolan : Well, I wouldn't say that the NBA deal helps the regionals or MSG Network, probably just the opposite. In terms of the workout, I'm going to let Mr. Byrnes answer the workout questions today. But yeah, no, I don't think that the, speaking strictly from Networks point of view, losing, content is never good, and that was some very high profile mirror content. So, did not help our business at all.
Dave Byrnes : And then Brandon on the workout part of that, we can't speculate today how the process is going to go going forward. We mentioned Networks has hired advisors. The advisors are in touch with our lenders. We're just going to have to see how that plays out and keep you posted as we move forward.
Brandon Ross : Okay, great. And then on the Exosphere advertising, it was a little lower than the building's first couple of quarters. I realize you had Super Bowl last quarter. But what are you seeing overall in terms of advertiser demand? And how is your approach to selling evolved? How can it improve?
Jim Dolan : Well, it can definitely improve. But we're just -- we're really getting used to the marketplace. It’s the first year of, this product. So we're learning more about it. I think our approach, right now is going in the direction where we're putting together, conventions, other things going on in the marketplace, right. Our pitches are much more branded. We're still -- we are looking at the medium, as being something that advertisers use to really introduce products, further brands and the pitches have changed in that way.
Brandon Ross : Got it. Thank you.
Operator: Your next question comes from a line of Peter Henderson from Bank of America. Your line is open.
Peter Henderson : Yes, good morning. Question for Jim. So we've seen the market rumors around your content plans and just sort of wondering if your plan or preferred model is to partner with other studios or to go it alone on content for the Sphere Experience. And then can you just discuss the puts and takes for each of those?
Jim Dolan : Okay, I guess the answer to that is yes. But, the branded content certainly has its appeal, but the thing that probably is most important when we take a look at the content is that we use the medium well, that we’ll continue to explore the medium. If you can do that via branded content or via original content, the most important thing to me is that it's experiential. That's what we want our customers to have when they come into building. It's an experience. So, if the branded content does do that, then we're going to shy away from it. The business equation, our branded content is more expensive, and you have to make room for or the IP owners in that. When you do your own, you don't have that as much, you reap more of the benefits. But of course, branded content also has, a pre instilled appeal to the marketplace. So you weigh one against the other.
Peter Henderson : Okay, great. Just a quick follow up. Is there another path where you put out immersive concert content based on the residencies you have, just as a way to sort of extend those residencies and even provide additional, sort of reason for that?
Jim Dolan : We think there is. But, it kind of goes back to my first answer, right. It's all about experience. So if you look at the concerts that we've had, and the events that we've had in the Sphere so far, and you think of them as an experience, the then recording them actually in the Sphere itself is probably the most perfect place to make an experiential recording. So that suggests that there's a product there. Now, we haven't launched anything with that yet, and we're not prepared to announce anything today. But I expect you'll hear from us soon about that kind of content.
Peter Henderson : Great, thank you.
Operator: Your next question comes from line of Daniel Durand from Morgan Stanley. Your line is open.
Unidentified Analyst: Hi, good morning. Thank you for taking my question. Jim, I believe that on the last two earnings calls you suggested we might hear soon about plans for an additional or multiple additional Spheres. Do you have any update for us today? Or when do you think we might now expect to hear on the expansion of the Sphere portfolio to new markets? Thank you.
Jim Dolan:  The interesting thing about that question is, that topic is sort of, I can't really say exactly when, because then I'd be saying exactly when. Do I anticipate that we're going to have something to say very soon? Yes, I do. And I think that's about all I can say, other than you are going to know when it happens.
Unidentified Analyst: Got it. Thank you. And just one follow-up. I believe Postcard was about an $85 million investment. Can you give us a sense of how much the other two in process to your experience is comparing cost? Thank you.
Jim Dolan:  Yeah, I think, look they probably won't be much more. They could be much less that they were still – we're still figuring out some of those some of those dynamics. Postcard, we call Postcard as the first pancake. You know, when it's like to make the first pancakes. The second pancake is always better, usually at least. And we won't spend – we learned a lot about where to spend our money from the first pancake. So I would say that the next couple of efforts will be better in terms of their appeal, and how they use the medium, in terms of what we spend to make them. I think we're somewhat comfortable at the number that Postcard was made at. I don't think that we’ll make it for much less, because what we'll end up doing is we’ll find we have more resources to put into it, then we’ll make it even better. So, we’re likely to stay in and around that range.
Unidentified Analyst: Got it. Thank you very much.
Operator: Your next question comes from a line of David Karnovsky from JP Morgan. Your line is open.
David Karnovsky: Thank you. Maybe following up on the potential international locations. Jim, I wondered if you could talk more about what role Sphere, the company, would place at these venues. I assume Sphere Studios would license content, but what other kind of corporate booking management functions do you think the central entity could or will provide?
Jim Dolan: Sure. They actually – this, I tend to think about this at least once a week, because as we're going out to other marketplaces, and then to other potential owners of Spheres, that the question of we obviously bring the expertise of how to build a Sphere. But when you take a look at this last year, we’ve really gotten much better at operating a Sphere. And by the time we open up another Sphere, we'll really have gotten that operation gap and that the – but when I look at everything that's happened in the last year, I keep thinking to myself, well, the next guy is going to really benefit from the fact that we learned this and we learned that and we changed this policy and this procedure, we became efficient at this. I mean, one of the things that we talked about in the script was what we call side by sides. That's where we have more than one event in the Sphere on the same day. The next Sphere will automatically know how to do that, because of what happened in the Sphere in Las Vegas. How to change, how to set up, how to change out, how to move from one piece of content to another piece of content and effectively bring in an audience for one, and then bring in an audience for another one and have them exit and do the experience, etc. The utilization of the building, that's a big piece of what the economic formula was for Sphere, was to build a building that you could utilize 365 days a year and multiple times a day. So we've learned a lot this year. The next person to build one, to use us, will be us who builds it, obviously, will benefit from what we've learned in this year, particularly with things like side by side.
David Karnovsky: Got it. And then regarding some of the non-music events like NHL or the upcoming UFC fight, interested to know what type of interest you are seeing for this type of show at the Sphere. And then can you maybe also speak to corporate demand to follow in the Hewlett Packard event you did? Thanks.
Jim Dolan: Okay, I've got to answer that in a slightly different way than you asked it, because the strategy as I was just talking about was that the Sphere is, what are we programming on a day-to-day basis in this Sphere? Our anchor programming, is this, is our content, at the moment Postcard from Earth. We can run Postcard from Earth 365 days a year and run nothing else, we could do that, and that will generate X amount of revenue per day. So if you are sitting there and you are booking the venue, you would probably not book anything in there that made less than what you can do with your base content, right. Now, your question is how many corporates do we have? How many of residencies, etc., that's the formula. So corporates, we've actually had quite a bit of interest in corporates, right. But I will tell you that some of them have been a little shocked with the price tag, because they are actually competing with Postcard from Earth for utilization of the building. And so we basically say to them, ‘sure, we'd love to rent you the building and have you do this. But we got to make at least as much money as Postcard.’ And that can be somewhat expensive for a corporate client. Still, the ones with a lot of imagination and foresight, etc., are not daunted by those numbers, because they see what they can do with the building. They see how they can display their information that they – and they think it's really cool to be in the Sphere. So that's sort of how it plays out.
David Karnovsky: Thank you.
Jim Dolan:  Did that answer your question?
David Karnovsky: It did. Thanks Jim.
Operator: Your next question comes from the line of Peter Supino from Wolfe Research. Your line is open.
Peter Supino : Hi. Good morning. I have a question on the Postcard from Earth and the Sphere traffic dynamics and then another one on the MSG Networks refinancing. On the latter, if you could just help us with color on why the prior refinancing process didn't work and why you decided on this new workout strategy. And then on Postcard, I wonder if you can share any data or analysis with us on what drives visitors to the Sphere. And what does that mean as you transition from Postcard and from year one to whatever comes next, and year two when more people will have been there once. Thank you.
Jim Dolan: Why don't you do that?
Dave Byrnes: Alright. Peter, I'll take the first part of that. Last time we spoke, we mentioned that we were in discussions with our entire bank group to amend and extend Networks credit facilities. We had strong support from a number of our larger relationship banks to participate in the refinancing. However, we were just unable to get sufficient overall support from the full lender group to complete the full syndication, and that's what led us to where we are here right now on the workout.
Jim Dolan: And on the second part of that, that second, that feels sort of like a chicken and egg question. Is it the egg or is it the inside of the egg? And look, I think it's a bit of a combination of both. I mean, it's a very interesting building to see from the outside and it dominates the landscape, and that clearly makes people really want. But then they ask questions like, well, what's inside, and what does it do? Then you take a look at things like the social media, and how this product only being a year old. You could go almost anywhere in the world and say Sphere and people know what it is, know where it is, and many of them know what it does. And every time we do something like Dead & Co., it just blossoms out again and a whole new group of people learn all about what the Sphere can do. So are they there for the building? Are they there for the content? I think it's a combination of both. You did mention that a lot of people have seen it. Well, a lot of people have seen it from the outside, but actually not a lot of people have seen it from the inside. So there's still plenty of marketplace available there. And then as we keep changing up the content and then when we promote it and we do more residencies and more events, etc., just continues to add up to that. So I mean, I don't think you can take it to be one thing versus the other.
Peter Supino : We look forward to more pancakes. Thank you.
Jim Dolan: Operator we’ll take rise with that.
Ari Danes: We'll take one last caller operator.
Operator: Certainly. Your final question comes from the line of David Joyce from Seaport Research Partners. Your line is open.
David Joyce : Thank you. Jim, my first questions on the residency pipeline. I was wondering if you could help provide some more color into, and visibility into 2025 after the Eagles. What other groups are you talking to, and can you announce or what genres are they? And what's involved with the creative that they put on and the kind of the lead time that they need to work with you on that?
Jim Dolan:  What was the last part of that, about the content?
A - Dave Byrnes: Which lead time they need to create?
Jim Dolan:  How much time they need on creative on it? Okay. Well, we’re obviously not going to make any announcements today about who is coming. You did ask it in a way that I can see the – about categories, right. So you can expect something in the country category coming in ‘25. That will wet people's appetite. And look, it takes anywhere from three to six months to get ready to do one of these. It depends on what you are trying to achieve. So we're about that. We're at least at par. I think that you are going to see – I think the Eagles are not going to be satisfied with the 20 show run and neither will their fans, but we haven't announced anything yet in terms of that. The interesting thing about the Eagles show though, if you might have noticed, is that they basically play on for two weeks and then they go off for two weeks. So when we get to the ‘25 likely is that we will fill in the two weeks that they are not playing, with another high profile, premier type act, probably with a woman in it, and that's as much as I'm going to say about that.
David Joyce : Just, that's great. I appreciate that. [Multiple Speakers]
Jim Dolan: Still a great amount of demand from the artist by the way.
David Joyce : Okay. Another question on sponsorship. If you could talk about how talks are progressing with other partners. I know you mentioned earlier Verizon is sponsoring the live streams. But you are just wondering how that side of the business is evolving and how does Crown properties need a JV to play into that? Thank you.
Jim Dolan: So Crown properties really started actively working on this, what six months ago Dave?
A - Dave Byrnes: Yes, towards the end of calendar ‘23.
Jim Dolan: Right, exactly. So they have now started to really get into the swing of things. If you know anything about that, that business at all, it takes a while to build up pitches and client lists and all that. So we're starting to see some interesting new clients and I don't know, we'll just see how they do. I have a feeling that they are going to do well, but I'm not out there selling, they are.
David Joyce : Great. Thank you.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Mr. Ari Danes for some closing remarks.
Ari Danes : Thank you all for joining us. We look forward to speaking with you on our next earnings call. Have a good day!
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.